Christopher Eger: Good morning, and welcome to Resolute Mining Q3 Quarterly Highlights. My name is Chris Eger. I am the CEO of Resolute Mining, and I'm joined today by Dave Jackson, our CFO; and Gavin Harris, our Chief Operating Officer. Moving to Page 3. Let's start with some of the key highlights of the quarter. So as you see on the page, we had gold poured of 59,807 ounces, just shy of 60,000. And for the year, that brings us to 211,000 ounces of gold poured. With regards to our group AISC, in Q3, we achieved a $2,205 per ounce cost. It's worth noting though that in Q3, we are paying a much higher royalty expense across the business because of the higher gold price environment. So we estimated that the AISC increased by about $125 in Q3 relative to previous quarters as a result of the higher gold price environment. The business generated a healthy amount of cash in Q3 of around $26 million. Therefore, we ended the quarter with a net cash position of $136 million. Overall, the gold price that we achieved in Q3 was $3,400, which also was an increase over Q2 as the Q2 gold price average was $3,261. Very pleased to say that our TRIFR reduced from the previous quarters, and we're now sitting at 1.95 for Q3. And one of the key developments that we had in the quarter was to increase our resource at the Doropo project in Côte d'Ivoire, and now we're sitting at 4.4 million ounces. As you also see on the bottom right side of the page, we have now narrowed our guidance as we're approaching the end of the year and have much better visibility of our activities in both our operating sites. Our original production guidance of 275,000 ounces to 300,000 ounces has now been narrowed at the bottom end of the range to 275,000 ounces to 285,000 ounces, predominantly from a decrease at Syama, which again, I'll explain in the upcoming slides. Also on the all-in sustaining cost, which was originally guided at $1,650 per ounce to $1,750 per ounce, we have now increased the AISC by $100, really to reflect the higher gold price environment, which is increasing royalty rates, royalty costs, as we say, across the business. But again, this will become clearer as we talk about both Syama and the Mako operations. Moving to Slide 4. I wanted to recap what we believe is a very exciting and attractive organic profile that we put in place at Resolute Mining. As you can see, in 2025, our updated guidance provides a production profile of 275,000 to 285,000 ounces. In the next 2 years, we expect similar type production levels as we will be continuing to process stockpiles at Mako. But with the ramp-up in Syama as a result of the SSCP, we expect to start hitting numbers closer to 300,000 ounces, probably more in 2027 than 2026. But very excitingly, from 2028 and onwards, once we bring Doropo into production, we feel very confidently that the business will start to achieve production levels above 500,000 ounces. But moving beyond 2029, I'm very pleased with the amount of work that we're doing in exploration that the business has real potential to dramatically increase its production profile beyond 500,000 ounces. So in summary, the business is very much on track for this growth profile, and I'm very pleased with the progress that we've made year-to-date with the substantial transformations that have happened in the business throughout 2025. Now let's move into each of our country activities to give a quarterly update on the key progress that's been made across the group. So starting with Mali, let's turn to Page 6. As previously highlighted, Syama unfortunately continued to have operational challenges in Q3, mainly due to supply chain disruptions from explosives. So gold poured was just shy of 40,000 at 39,918 ounces, slightly down from Q2, which was around 41,000 ounces. We saw all-in sustaining costs increasing quite a bit to $2,358, but one of the key contributing factors to increasing AISC was that for the quarter, we saw an increase in royalty rates as a result of the high gold price, and that impact of higher royalty rates resulted in a higher AISC of about $160 relative to our original guidance at the beginning of the year. CapEx was as expected for $26 million for the quarter. And so look, talking about the site, we made some good progress on supply chain disruptions, whereby we have now increased suppliers with regards to explosives, but explosives continues to be the Achilles heel of the operation. Today, we're sitting around 100 tonnes of explosives, which is only about 1 month's worth of stock, not even, to be honest. We have activities in place today to try and get an additional 400 tonnes, which will take us to the end of the year. But unfortunately, the explosives and supply chain situation continues to be very delicate, and we're managing the best possible by trying to bring in as many new suppliers as possible as well as to work with the government in the logistics of those explosives. We're making good progress on the underground even with the explosives that we have. Today, we're starting to mine continuously 8,000 tonnes per day relative to what was half of that at the beginning of the year. So look, the activities on site are going well. We're making some good inroads in reducing costs. We're right now also in the budget season for 2026. And so I'm pleased with how the team is coming together. But unfortunately, like I said before, the explosive situation is really a key contributing factor to the reduced production levels. In Q3, we also made quite a few management changes on site. And today, Gavin, who's here with me, is effectively acting as a General Manager as we are completely restructuring the management team at Syama in order to prepare for a much more profitable 2026 and beyond. The oxide production is also reduced in Q3 because we're very much at the end of the life of the oxide production. And so we experienced expected lower grades as a result of diminishing oxides. So unfortunately, as a result of the challenging year that we've had at Syama, we have decided to reduce the full year production guidance to 177,000 ounces to 183,000 ounces. And I could say probably the vast majority of the reduction in ounces as a result of the lack of explosives, which, as I said before, has been a real frustration for us. Therefore, with the lower production and the higher gold price, we've needed to increase the all-in sustaining costs by roughly $200 to reflect the changes in the business environment. But what I want to highlight is of that $200 increase, probably 2/3 of it relates to the higher gold price environment that we sit in today relative to the beginning of the year. All in all, at Syama, it's been a very challenging year, but I am quite confident that as we look to 2026 and beyond, we are putting in the right people and the right infrastructure in place to start to achieve our historical targets. On to Page 7. One of the key projects that I believe may have gotten lost in the investment thesis of Resolute Mining has been the Syama Sulphide Conversion Project or as we call it, the SSCP. To recap, this is a very exciting project that was commenced back in 2023. And what we're doing here is converting our oxide line to process sulfides. It's roughly $100 million project that is now in the final stretches of completion. This project has run extremely smoothly. It's been on budget, on track. And I'm very pleased to say that after close to 1 million man hours spent, we've had no LTIs. As explained, the project is well on track. This year, we've spent just over $20 million of the planned guidance of $30 million. In Q3, we added 2 additional CCIL tanks that you can see in the top left part of the picture as well as commissioned the pebble crusher. Both of those achievements will add a bit more flexibility to the business with increasing a bit more recovery as we are starting to have increased residence times in the CCIL tanks. However, the main benefit will come next year once the secondary crusher and the ball mills are commissioned as well as the roaster upgrades. So moving into 2026, the site will be fully operational to process 100% sulfide ore, which will dramatically increase the flexibility of the operations and expect to increase the production back over 210,000 ounces for this foreseeable future. So this has been a great project that we've completed or near completion, and it shows the capabilities of our business in building projects on time and on budget, which I think speaks to the team as we're starting to enter operations and constructions at Doropo next year. On to the next slide, Slide 8. I wanted to highlight a few other activities that have been important in Mali. As some of you may know, back in October, early October, I visited Mali and had a chance to meet with senior government officials. Most namely on October 10, I was able to meet with both the Prime Minister and the Minister of Mines in Bamako. This was my first trip to Mali as CEO of Resolute Mining, and I have to say it was a very productive trip. The discussions with both the Prime Minister and the Minister of Mines focused on historical challenges of the business, activities that we're facing today, but most importantly, trying to create a platform for constructive growth. So we had a very open discussion around what's happened in the past, what are the challenges that face the industry today and how to try and work together for the future. It was an initial conversation that will lead to many more discussions, but I have to say, pleasingly, it was a step in the right direction. Other activities at Syama have been focused on exploration, although in 2025, exploration has been less of a priority at Syama relative to other areas in the business. We have targeted a few potential oxide ore bodies, but I have to say they have not come back with meaningful results. Moving into 2026, though, we will look to increase our exploration activities at Syama, but most likely with a focus of really developing additional sulfide ore in order to fill the plant considering the flexibility that's been implemented in 2025. So in summary, before I move to talk about our operations and activities in Senegal, in summary, activities in Mali this year have been very complicated. We've had a lot of changes. We've made a lot of significant management changes, but I'm confident that now we are putting in the right pieces, the right people, the right infrastructure in order to have a much more successful year in Mali in 2026 and beyond. What will be key to the success of Syama will not only be our people and our operations delivering their targets, but maintaining a constructive and productive dialogue with the government, which I'm confident will result in a win-win solution for Resolute Mining, our employees, the community as well as our stakeholders. Now let's move to our activities in Senegal, starting first with our Mako operations on Slide 10. I'm very pleased to say that in Q3, the site produced just shy of 20,000 ounces at 19,939 ounces. And year-to-date, we've achieved 82,000 ounces of gold poured. So as a result of the very strong first 3 quarters of the business and what we expect for the remaining quarter for 2025, we believe that full year production will fall somewhere between 98,000 to 102,000 ounces at this stage. Therefore, we've increased guidance to these levels. As we look at AISC, with the higher production from the site, but a slightly higher AISC as regards to the higher royalty, we believe that AISC will remain unchanged from a guidance perspective between $1,300 and $1,400 per ounce, although I will probably say that we'll end up being at the lower end of that guidance. So all in all, the activities at Mako have had a very robust year. The site has been performing extremely well, and I'm very pleased with the activities at Mako. However, there's a lot of other activities in Senegal that are worth noting, specifically as it relates to our mine life extension projects. Looking on Page 11, as you can see, we have 2 key projects that we are in the process of developing in order to add additional ore and mine life to the Mako operations. As discussed in the past, the 2 projects are Tomboronkoto and Bantaco. Today, both deposits have over 600,000 ounces of known gold that we believe will add at least 5 to 10 years of additional mine life to the Mako operation. But there's a lot of work that needs to happen in order to develop these 2 satellite deposits, which I'll go through in detail in the next couple of slides. Starting with Tombo, on Page 12. In Q3, we had a very key milestone with regards to the fact that the ESIA for the Tombo development was lodged with the government, and we're in active dialogue in discussing that ESIA with the government to get hopefully their approval by the end of this year or in Q1. Having the approval of the ESIA is a key milestone in order for Resolute to file for its mining exploitation permit planned for some time early next year. The other key activities at Tombo was ongoing community engagement to educate the folks that are involved around the benefits of developing Tombo as people remember, we have to move a village. And finally, the other key activities at Tombo was regards to completing the technical reports, namely the DFS required in order to file for that mining application in the beginning of next year. So in summary, I'm very pleased with the activities at Tombo in Q3. Again, I congratulate the team and the filing of the ESIA and looking forward to getting the government's comments so that we can maintain our time line, which you can see in the bottom left of the page. So there's still quite a lot of work that needs to be done. The permitting and licensing will probably be the biggest risk to the overall time line. Once we have the exploitation permits in hand, we can start to really develop the project by moving the village in order to get into mining the ore body in sometime in 2028. Moving to Slide 13. The other key activity in Senegal has been our progress at Bantaco. If you remember back in July during my Q2 announcement, we provided initial MRE at Bantaco, and in Q3 of this year, the key focus for us has been to continue to drill at Bantaco with regards to doing infill drilling at Bantaco South, also at Bantaco West as well as some additional drilling to expand the resource. But really, the focus has been infill drilling. And as we look into Q4 and early next year, we'll be looking to expand the Bantaco resource. That infill drilling was needed so that we can complete the technical studies required as well as the ESIA for Bantaco and get that lodged with the government so that we can be in a position to file for an exploitation permit in Q2 of 2026. There's 2 pictures on this slide on the far right. The picture on the top is Bantaco South, and you can see some of the promising drill results that we've had in Q3 as regards to infill. We believe the deposit continues to extend at strike and also down dips, and we will continue to explore across this area, like I said, in the latter part of this year and into next year in order to make the deposit at Bantaco South bigger. The other picture that you see on the bottom right of the page shows Bantaco West. This is an interesting picture because you can see the Bantaco West potential ore bodies, and you can also see the Tombo ore body in yellow. The magenta line to the left of the Bantaco West ore bodies represents the planned road diversion that we'll have to undertake in order to develop the satellite deposits. So again, congratulate to the team for the significant amount of work that they've done in Q3 in order to progress both Bantaco and Tombo as these are key projects with regards to the extension of the mining activities at Mako. But again, I'm very pleased to say that all the activities are on track, on budget, and the team is doing a fantastic job. Now moving to Côte d'Ivoire. I'm very pleased to say that the Doropo project remains very much on track and on budget at this stage. A key development in Q3 was the fact that we updated the MRE to 4.4 million ounces based off of a more realistic gold price, and this was published in September. The increase in gold price has created a lot more optionality and flexibility for the development of Doropo, and we're in the process today of very much updating the DFS with regards to creating this additional optionality and flexibility. So key activities in Q3 across Doropo was the increase in the MRE, continued work on the updated DFS, community activities as well as permitting, specifically as regards to key activities in updating DFS. The main focus has been to think about increasing the capacity as regards to the fact that we know there's going to be a lot more gold than that was originally anticipated. We're also evaluating different power options. And most importantly, we're updating all the cost figures for more realistic assumptions based off today's environment. So today, we very much see that we are on track to provide an updated DFS at the end of November, early December, which will crystallize the value of the Doropo project. The other key activity in 2025 is around permitting. As flagged in the past, we are in the final stages of getting our exploitation permit granted. But what we knew would be a bit of a complication around the permitting process was the fact that there were elections in Côte d'Ivoire on Saturday, which thankfully, what we hear have gone very peacefully. But unfortunately, because of the elections and the politicking that occurred before the elections, the Minister of Mines office has been preoccupied with the elections at this stage. However, we believe that discussions will resume, and we should be able to get our permits granted by the end of this year, worst case, very beginning of next year. However, none of that changes the overall time line because we still envision that we will proceed with final investment decision post updated DFS and permits, either at the end of this year or early next year and then start early works, complete financing, all with an anticipation of being in production in 2028. So overall, very pleased with how the project is developing. There's been an awful lot of work. There continues to be an awful lot of work in getting all the steps completed. But at this stage, we're very much on track. Moving to Page 16. I wanted to talk to you about some of the other key exciting activities in Côte d'Ivoire, namely on exploration. So first, let's start with the ABC development project. ABC today has over 2.2 million ounces at 0.9 grams per tonne. But as you can see in the picture on the right, those ounces are dedicated to the Kona permit, which is in the middle of the 3 red boxes. In Q3, we did quite a bit of additional work on all the different permits in order to identify where we would like to drill next. And very pleasingly, we are going to start drilling in the permits in the north, the Faraco and Nafana permits with a planned 10,000 meters of RC drilling to commence in November, and that will continue into early next year. We're very excited about that area because, as you can see, it's just southeast of the Awale-Newmont joint venture license, which have had some very high-grade intercepts in the past quarters. However, we're not going to stop doing work at the Kona and Windou permits. We've done quite a bit of surface geochemistry and mapping. And as we've seen, we believe there's additional resources in order to expand and grow that deposit. And so we are targeting at least 15,000 meters of RC drilling in order to develop that deposit. So in combination between the 3 areas, we're very excited about what we see at ABC and has the potential to become a fourth mine for Resolute at some point in the future. And finally, before I turn the page, it's worth noting that we're still active in looking for new permits in Côte d'Ivoire as we find it to be a very interesting area for development. And as you can see on the bottom right side of the page, we were granted a permit called [ Gbemanzo ] which was actually granted in June of this year, and we still have permit applications for 2 others that we expect to receive in 2026. And moving to our final exploration projects in Côte d'Ivoire. On Page 17, I want to give you an update of the La Debo project. So to date, La Debo has over 400,000 ounces at 1.3 grams per tonne, but that resource is dedicated to the northeast of the deposit, which you can see in the bottom left picture between the G3N and G3S areas. In Q3, we finished our exploration activities at La Debo. And today, we're in the process of updating our MRE, which we believe will be a substantial increase in what was previously published, and we're on track to update that MRE by the end of this year. Moving forward, we will look to expand our drilling activities focusing on the middle to southwest parts of the deposit. So again, very pleased with the progress at La Debo. We believe that this project also has very exciting potential. But at this stage, it's a bit too small for us to say it will become a mine, but it has the potential to do so. So with that, let me turn it over to Dave Jackson to discuss the financials of our Q3 results.
Dave Jackson: Thanks, Chris. Today, I'll walk you through this quarter's headline financial results, highlighting the key performance metrics. Overall, our Q3 metrics were in line with our expectations as we continue to strengthen our balance sheet and build cash in the business. Looking at the financial highlights, our year-to-date EBITDA was an impressive $293 million versus $225 million in the same period last year. This performance was underpinned by revenue of $664 million. This was generated from the sale of 209,000 ounces of gold at an average realized price of $3,175 per ounce. As previously noted, Resolute remains fully unhedged and continues to sell all of its gold at spot prices. At quarter end, net cash stood at $137 million, marking more than a $20 million increase from Q2. Included in the net cash figure is $58 million of bullion, representing nearly 15,000 ounces of gold that we have sold after the quarter closed. We had $32 million drawn on overdraft facilities at quarter end. These continue to be used locally to optimize working capital. The group has in-country overdraft facilities of approximately $100 million available as we continue to maintain financial flexibility for the group. The group all-in sustaining cost for Q3 was $2,205 per ounce sold, which represents a $500 per ounce increase from Q2. This increase was primarily driven by the expected reduction in gold production at Mako, the impact of supply chain issues, which impacted gold production at Syama and the increased royalties at both sites due to the rising gold prices. This has added approximately $125 per ounce in Q3 at the group level. At Syama, all-in sustaining cost was higher than Q2 due to lower production volumes as we continue to experience supply chain issues. As Chris already mentioned, while we are cautiously optimistic that we're addressing these issues, the situation in Mali continues to be unpredictable. Despite these challenges, we are focused on maintaining strict cost control across the group. Let me now walk you through the key components of our financial results that led to the cash and bullion position of $168 million at the end of Q3. We generated a solid $68 million in operating cash flow during the quarter. CapEx totaled $89 million year-to-date. This includes $20 million allocated to exploration, $28 million in sustaining capital across Syama and Mako and $41 million in non-sustaining capital at Syama, of which $20.7 million was spent on the SSCP. Overall, CapEx and exploration spend was in line with expectations, and we remain on track to deliver our 2025 guidance range of $109 million to $126 million. As previously noted, we made the initial $25 million payment for the acquisition of the Doropo and ABC projects during Q2. These projects represent exciting growth opportunities for the company and are expected to deliver meaningful long-term value for our stakeholders. VAT outflows at the end of Q3 totaled $20 million across Mali and Senegal. VAT remains a source of cash leakage for us, but we continue to engage actively with local governments to recover these amounts. Our recent discussions have been positive, and we remain encouraged by the progress being made. We recorded a $5 million working capital inflow for the year-to-date, primarily driven by a reduction in stockpile balances. Also, we have made solid progress in lowering consumable inventory levels as a part of our ongoing efforts to optimize working capital. Our ending cash and bullion of $168 million marks a $67 million increase from the beginning of the year. This leaves us with ample available liquidity of over $244 million at the end of September. As noted on the 15th of October, Loncor Gold entered into a sale agreement whereby subject to certain conditions, Chengtun Mining will acquire all the outstanding common shares of Loncor in an all-cash transaction. Resolute holds just over 31 million common shares of Loncor that are valued at around USD 31 million at the current exchange rate. The transaction is expected to close no later than Q1 2026, and Resolute expects no tax impact on its proceeds once received. In summary, we're in a very solid financial position and are excited about the growth potential of the business. And with that, I'll hand it back to Chris.
Christopher Eger: Thank you, Dave. So look, in summary, I'm very pleased with how the business performed year-to-date, although we had a very difficult time in Mali with the explosive situation. So as such, we're still very much on track for full year group production guidance, albeit at the lower end of the range of 275,000 to 285,000 ounces. The business is performing well. We're producing cash, as you can see through our net cash generation of $26 million in Q3 and therefore, ending the quarter with a net cash position of $136 million. We continue to make good progress across the group, namely in Côte d'Ivoire with our development of the Doropo project. So we're very much advancing all our strategic initiatives across each of the countries that we operate, and we're very much on a pathway to deliver targeted annual production of over 500,000 ounces from 2028. With that, I'll hand it over for questions. Thank you very much.
Operator: [Operator Instructions] We'll take our first question from Reg Spencer from Canaccord.
Reg Spencer: Congrats on a good quarter. My question relates around what I'm sure is a frustrating issue on explosives in Mali. Can you tell me what you think the circuit breaker to this situation might be? Are we at a stage where we should be concerned about maintaining current levels of production? Or is there really any risk to near-term or medium-term production outlook due to the ongoing issues?
Christopher Eger: Thanks for joining the call. So look, with regards to explosives, it hasn't been easy because I think I've highlighted before at the very beginning of the year, we lost our historical explosive supplier. We moved to a new supplier that has not been performing well throughout the year. And so now we've added a second supplier into the mix, which will help. But what complicates matters is the fact that there's been also fuel shortages in country, which you may have heard about from some of our other colleagues. That hasn't impacted ourselves with regards to our fuel activities, but it has impacted the generation of explosives. So that's been a major concern as well because the supply of explosives is just obviously low in Mali. And then look, the last component, which I've also highlighted in the past has been the complicated government regulations required to import and move explosives around. We are making no progress educating the government on this fact, and we've also highlighted to them that, look, we're down a meaningful amount of gold production this year because of their frustrations, and we've seen them react quicker to this. So the way we think about it today is that with additional suppliers, with additional education from us to the government, we do think we're in a better spot. We have more stock than we've had historically throughout the year. And like I said, we're probably building enough stock to get us to the end of the year. But it is unfortunately going to be an ongoing bit of a struggle to have, call it, ample stock for the 2026. So it's a risk, but I do think we've been heading in the right direction.
Reg Spencer: I appreciate if you can really give much more color around the situation. I know some of the other operations in Mali may not be actually operating, but it sounds like a countrywide thing, it's certainly not specific to you guys, right?
Christopher Eger: From what we see, yes. I mean, look, we are trying to buy explosives from our other -- to the other operators in country, and we're having a bit of progress. But in some cases, we're not having any progress, which just demonstrates that it's not -- there's not a lot of ample supply of explosives in Mali these days.
Operator: We are now taking our next question from Will Dalby from Berenberg.
William Dalby: Just a couple from me. I think in light of this explosive situation and obviously, the higher royalties, I'm just wondering if you feel there's much scope to improve your group AISC next year versus this year? That's the first one.
Christopher Eger: Look, so in short, yes, because we think, look, next year, the production volumes at Syama will go up as we have effectively commissioned and will be commissioning SSCP. So we're obviously in the budget process now, but we expect to be back up above 200,000 ounces. So that will help on one aspect. But look, the gold prices is the other key component. Today, we're sitting at just shy of $4,100. And obviously, that has a meaningful impact in royalty expenses, which will impact the site. But look, on an apples-to-apples basis, we do expect AISC to decrease next year because of the higher production. But I just don't have an exact figure in my head because of the higher royalty expenses today.
William Dalby: And then second, sort of just around the VAT receivables piece in both Mali and Senegal, that's sort of been an ongoing challenge there. I wonder if you can flesh out and give a bit more color on that situation? Are you seeing any kind of progress there? And how is that kind of unfolding?
Dave Jackson: Yes. Thanks, Will. It's Dave here. Yes, the situations are very different in both countries. So we mentioned in the quarterly release, we are getting VAT back in Senegal, which we used to offset various government payments. So the situation is quite positive in Senegal. But in Mali, it still remains to be a point of cash leakage for us. I mean, we're engaging with the government discussing potential path forward. But as we stand right now, we continue to be not getting any of the VAT back. So there is quite a bit of cash leakage, as I said, in Mali. And until that's resolved, it will be a bit of an issue for us.
Christopher Eger: And Will, it's worth noting that when I met with the government officials, namely Prime Minister and the Minister of Mines, we obviously put this as one of the key topics and said, "Look, not getting our VAT refunds is impacting the future growth of the business," and they understood it. So I think they're hearing the message from quite a few folks, but unfortunately, because of their economic situation, it continues to be very difficult to get them. And I'm not optimistic that we'll get any more in the rest of this year.
William Dalby: And then maybe just a quick last one. I just sort of know in [indiscernible] on these very helpful development time lines that you have, you have plant modifications at Mako for Tomboronkoto. I just wondered if you could give a bit more detail around what's required there. I see it's in the time line for Tombo but not Bantaco. So is that sort of specific modifications for that deposit? And yes, I guess, how is that working?
Christopher Eger: Yes. So look, the ore at Mako, the original ore was quite ore rock. But as we look to mine ore from both Bantaco and Tombo it's a lot softer, and so it's going to require additional capacity. The other key area of improvement in the plant is to increase overall throughput. So today, Mako has a throughput capacity of about 2.3 million tonnes per annum, and we're looking to increase it to 2.9 million tonnes per annum because we've been historically processing ore at probably 2.2 grams per tonne and both Tombo and Mako -- sorry, Bantaco and Mako are going to be closer to 1.1, 1.2. And so in order to try and maintain appropriate production levels, we want to increase the capacity. So that's the main reason for the plant modifications.
Operator: [Operator Instructions] It appears we have no further questions. I'd now like to turn the conference back to Chris Eger for any additional or closing remarks. Please go ahead, sir.
Christopher Eger: Look, thank you very much for joining the call. And look, like I said, it's been a challenging quarter. But in summary, we believe we're on track to deliver a very robust set of performance for 2025 and the platform for a very robust 2026. Thanks again. Have a good day. Cheers. Bye.